Operator: Ladies and gentlemen, welcome to the Kuehne + Nagel Q3 2025 Results Conference Call and Live Webcast. I am Valentina, the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Stefan Paul, CEO of Kuehne + Nagel. Please go ahead.
Stefan Paul: Thank you very much, Valentina, and good afternoon, and welcome for the presentation of Kuehne + Nagel's 9 months 2025 financial results. I'm CEO, Stefan Paul, joined today, as always, by our CFO, Markus Blanka-Graff. We go through the slides first. And then as Valentina said, we focus on the Q&A in about 15 to 20 minutes from now. Let's go into Page #2, the 9 months results 2025. Overcapacity and softer demand in the third quarter of 2025 made the logistics market environment more challenging. Even so, we significantly expanded our global market share in Air Logistics and also in the SME segment in Sea Logistics. Year-to-date, group EBIT declined by 13% year-over-year, excluding currency effects as yield came under greater pressure. This was centered in Sea and Air Logistics, which combined year-to-date EBIT down 16%, again, excluding negative currency effects. The combined sea and air conversion rate was 28% over the first 9 months of the year. The consolidation of IMC has reduced the combined conversion rate by about 100 basis points since January of this year. Group EPS declined 18% year-over-year or 15% excluding currency effects. In addition to our expanding market share, plus in the Q3 result is the further improvement of our free cash flow conversion. It reached 105% in Q3 alone, the first time it has exceeded 100% since Q3 in 2022. Conversion over the first 9 months of the year was 66% versus 33% last year. In response to the Q3 financial performance, we are announcing measures to reduce recurring operation costs by at least CHF 200 million over the coming quarters. Markus will provide you with more details shortly. But first, let's turn to the usual review of the performance by business units. Page #3, we start as always with Sea Logistics volume in container units on the left, GP per TEU and then EBIT per TEU always in Swiss francs. Sea Logistics headline, overcapacity puts pressure on yields. Underlying Sea Logistics volume grew by 2% in Q3, while the addressable market was flat. This growth did not meet our aspirations. However, after we have achieved 5% underlying growth in the first half of the year versus addressable market growth of plus 2%. Trade was weakest in the transpac; however, we have relatively large exposure, followed by European and North American export markets. In contrast, European imports were quite strong. Overall SME share expanded Q-over-Q in Q3. Deployed capacity in Q3 far exceeded demand and intensified pressure on margins. This is evident in the central chart on this slide, where the average yields declined 10 percentage points Q-on-Q. The Q3 EBIT was CHF 111 million, reflecting the near full effect of the yield pressure as operating costs were down only 1% Q-after-Q. With this result, Sea Logistics conversion rate stands at 24% in Q3 or 25% on a net basis. Let's move quickly to Air Logistics, Page #4, ongoing market share expansion. In Air Logistics, volume grew by 7% in the third quarter, well ahead of the estimated 4% market growth. This is consistent with 7% volume growth in the first half of this year. Perishables and semiconductors, including hyperscalers, drove volume expansion in Q3 with the latter accounting for about half of the overall year-over-year growth. Average Air Logistics yields also came under pressure. They declined by 6% Q-on-Q due to excess capacity. E-commerce demand contracted sharply following the elimination of the U.S. de minimis exemption. An absolute reduction of operating costs by 3% quarter-over-quarter offset about 1/3 of the yield pressure. This resulted overall in a Q3 EBIT of CHF 92 million and a conversion rate of 23%. We also announced today that Partners Group exercised its option to put its 24.9% equity stake in Apex to Kuehne + Nagel. The transaction is expected to be settled in cash during Q4 against the recognized liability of CHF 886 million in our balance sheet. The transaction will be financed by bank loans. Let's have a look at Page #5, Road Logistics. Over proportional exposure to weak European market, we achieved a net turnover growth of 6% in Q3, excluding currency effects or 2% excluding the contribution from TDN. That's our recent Spanish acquisition, which we consolidated for the first time in Q3. We continue to expand our global customs activities in an environment of fast-changing tariffs, mainly in the U.S. but as well in Europe. Our core European road markets remained under pressure in Q3, which is also seasonally the weakest quarter over the year, July and August. Demand levels are still below the last year's level. We continue to mitigate these challenging market conditions effectively by focusing on pricing, capacity management and cost control. Road Logistics overall delivered an EBIT of CHF 20 million in Q3, which is a decline of 9% year-over-year versus an underlying 23% drop year-over-year. The conversion rate of 6% was 1 percentage point lower than last year in Road Logistics. Now Contract Logistics, Page #6, steady growth momentum. Contract Logistics produced an EBIT of CHF 62 million in Q3. This is the second strongest quarterly result ever and reflects 9% year-over-year EBIT growth or 12% excluding currency effects. Net turnover grew by 5% year-over-year in Q3 on a constant currency basis, in line with the growth over the first half of the year. This reflects continued market share expansion, which gains, as always, centered in health care and e-commerce. The conversion rate of 7% in Q3 is also comparable to recent quarters an improvement versus Q3 last year. This concludes my comments on the performance of the business units. With this, I now hand over to Markus for a closer look at the financials and in particular, our cost reduction program.
Markus Blanka-Graff: Thank you, Stefan, and good afternoon, everyone. Thank you for your interest once again in Kuehne + Nagel and taking the time today to review our latest financial results. On the income statement, I would like to draw your attention to the most significant developments in the third quarter, which relates to yield pressure and ongoing currency headwinds. Yield pressure in both Sea and Air Logistics intensified in Q3, contributing to the net CHF 80 million decline of group gross profit. This includes a 4% negative currency impact in the third quarter alone, which equates to CHF 85 million. I will come back to this topic when reviewing our updated outlook in a few moments. Before that, let's take a quick look at working capital. Working capital, we can see some increase of the net working capital intensity to 5.1% at the close of the third quarter versus 4.8% at midyear and 5.1% for the same level at the end of Q1. Both DSOs and DPOs came under pressure over the most recent quarter with DSO up 1.6 days and DPO down 0.6. This development and volume growth contributed to a 6% quarter-over-quarter increase in the net working capital. I will elaborate a bit more on the working capital development with the review of free cash flow generation. Continuing with cash and free cash flow. In the third quarter, we produced CHF 226 million of free cash flow, which equates to a conversion rate of 105% versus 82% last year. For a better illustration, let me move on to the next slide. And in Q3, overall net working capital generated a net positive inflow of CHF 10 million despite the expansion of our core net working capital. This is the first inflow since the fourth quarter 2023. On a year-over-year basis, this represents an improvement of CHF 131 million. This contributed to the significantly improved third quarter cash conversion of 105%, as I mentioned before, which compares to the 82% of last year. However, that is below the historical average for a third quarter, as you can see on the slide, and we attribute the gap, which continues to close to relatively robust air freight volume and Contract Logistics turnover growth. We expect this to continue and note that the fourth quarter is typically the strongest quarter of the year when it comes to free cash flow generation. Now as Stefan mentioned, let me talk about our actions and how we are taking action to mitigate the impact of a challenging market environment. This comes in the form of a cost reduction program, targeting at least CHF 200 million of annualized savings. We estimate just over half of these savings are linked to staff-related costs, including FTE reductions. The balance of savings is split almost equally between facilities-related costs and a basket of other variable expenses. We anticipate achieving the full run rate of these savings by year-end 2026 or in other words, they should be fully reflected in the first quarter 2027 result. The costs associated with this program should not exceed a mid-double-digit million and are to be booked in the fourth quarter 2025 and the first quarter 2026. Before we move on to the updated outlook, let me emphasize that these measures will not impede our ability to grow in line with our already communicated strategy. So from today's perspective, we anticipate a fourth quarter recurring result comparable to that of the third quarter. Based on that expectation, our year-to-date financial performance and the challenging market conditions, we are reducing recurring EBIT guidance to greater than CHF 1.3 billion. Note that our guidance excludes nonrecurring items, such as the CHF 16 million charge in the second quarter and the items that we plan to book in the fourth quarter associated with our cost reduction program. Lastly, the Apex transaction will result in significantly expanded net debt by year-end 2025. And note that long term, we continue to prefer a small net cash position. We can also confirm that this transaction will have no impact on our dividend policy. With this, I would now like to close our prepared commentary and presentation with a summary of key takeaways. We are launching a sizable cost reduction program in response to the challenging market environment. The tough conditions are putting heavy pressure on sea and airfreight yields. At the same time, we maintain our long-term focus on market share gains in attractive sectors and continue to make progress. The expansion of our stake in Apex will be accretive to our EPS basis. And lastly, we are adjusting our outlook for recurring EBIT in 2025. With this, I want to thank you all for your attention and hand back to Valentina to open the Q&A session.
Operator: [Operator Instructions] The first question comes from Alex Irving from Bernstein.
Alexander Irving: My 2 are on the cost reduction program announced this morning. First of all, what functions would you be eliminating? Are you scaling back to calibrate to lower volumes? Or is there additional structural change? You also say the measures will not impede your ability to grow volume. What gives you that confidence? Secondly, what facilities are going? I noticed there was CHF 50 million of facility reduction expense in the release this morning. Are there services that will disappear either entirely or in certain geographies? A little more color here would be helpful.
Markus Blanka-Graff: Alex, it's Markus. So let me do the cost reduction pieces. So first, your question on the cost reductions on the functions. I think currently, we are looking into trimming, I would call it, structural cost, taking out structural costs that can be management layers, but also locations connected to the second point, operating locations. And of course, we are adjusting our operating workforce according to our progress in being more efficient automation and out for -- putting work out into global services and shared service centers. I think it's a combination, but it's an acceleration very clearly. And let's say, a deeper cut into the cost structure of not only operational but also structural and overhead cost. So it's not a single function that will be untouched. Everybody will have a clear focus on the cost reduction program. On the facility side, the major savings are coming from putting operational locations, so network locations, be it international or domestic, putting them together, improving network density by reducing locations and operational locations. Something that I think in the industry when volumes are reduced is a common practice to consolidate locations and hence, reduce not only staff, but also location cost.
Stefan Paul: Yes. Alex, Stefan speaking, maybe a little bit more caveat on the sales side, right, because you were alluding as well on -- what do we do on the commercial side in order to be still confident to grow the business. So we are not reducing commercial stuff, in particular, not in the SME sector. So in the meanwhile, seafreight has 45 customer care locations, around 700 SME people or dedicated small, medium-sized enterprise-focused hunters. We will not reduce there. We will, of course, intensify our efforts into the hyperscaler market. We talked about it now a couple of quarters already. You see that is paying off already to a certain degree in airfreight, in particular, where we have gained market share even more so in the third quarter, but we will definitely look into verticals which are not growing at present, for instance, automotive and certain industrial and solar panel activities from Asia into the U.S. But overall, commercial people will not be as affected as the operational side, as just mentioned by Markus.
Operator: The next question comes from Uday Khanapurkar from TD Cowen.
Uday Khanapurkar: This is Uday on for Jason Seidl. Maybe on the cost again, you've described it as at least CHF 200 million in cost out. Are you guys reserving upside there in case the market environment worsens further? Or is it more that you're starting out with a conservative number and could exceed it irrespective of the market?
Markus Blanka-Graff: Uday, it's Markus. Clearly, this is our ambition and our target that is reachable from today's perspective with the program that we have launched. If there is -- assume for a moment, there might be a further deterioration coming through the year 2026, we will, of course, not stop. This is not all we have to give. If there is a further deterioration or more adverse commercial environment or whatever else could happen, we can continue doing that, and we will continue doing that.
Stefan Paul: And to add a little bit to caveat on that as well from my side is we are talking about cost efficiencies now in the program. We are looking pretty much as well into the digital ecosystem. I mentioned that a couple of times already. We are at the very early beginning, but looking at the large language models and the digital agent capabilities from the software coming to the market or already available in the market, we will identify -- have identified and will further identify areas where we can leverage digital agents, and that should as well help us to reduce our cost to serve.
Uday Khanapurkar: Okay. That's helpful commentary. And maybe for my follow-up on sea. Can you give us your expectations maybe on ocean capacity trends in 2026? And maybe like what magnitude of an ocean demand recovery do you think is needed to start seeing maybe a firming up or a recovery in ocean rates off of these depressed levels?
Stefan Paul: Yes. So we all see and know that the carriers add significant more capacity into the marketplace, which is not helping the yield position overall pretty clearly. So maybe to give you a little bit of a number, China to the U.S. in the third quarter was down approximately, I would say, 25%, 26%, more so in the large customer base, less in the SME and smaller customer base. So what definitely needs to come back is this 20%, 30% down in the key account space. So we need to have a significant uptick in terms of volumes in the market in order to reverse the current pressure on yields. So the capacity as well to give you a precise number, which is growing or coming into the marketplace is roughly between 6% and 9% of the overall capacity, which is added now into 2026. So we need to have a significant uptick in demand, especially in the U.S. in order to reverse the situation from a yield perspective.
Operator: The next question comes from Muneeba Kayani from Bank of America.
Muneeba Kayani: Just continuing on this question around sea yields. So in the scenario that ocean freight rates remain under pressure over the next year, should we expect kind of your ocean yields to continue to decline? Or do you have any mechanisms in there to kind of protect the yield within the context of your strategy to gain market share? And then secondly, on the road segment, your competitor today talked about the road market stabilizing. It seems like you don't see that. Am I right? And kind of what are the trends you're seeing on the road side?
Stefan Paul: Muneeba. Stefan, I'll tackle the road question first. I think what we have seen is now that we -- over the year, we had 6% to 7% less volume in the large domestic networks, particularly in France, U.K. and Germany. Germany was the worst, and that is not a surprise. It is stabilizing a bit now. It was stabilizing at the end of September, a little bit more uptick than expected in October. But is that a tipping or turning point? I would say, no. There is still less volumes in the networks versus the previous years. I would say, if it's not 6%, it's still 3% to 4% less. It's stabilizing a bit, but it's not a tipping or turning point as we see it right now.
Markus Blanka-Graff: And maybe on the seafreight yield side, I think we have already a situation today where rates are on a very low basis. I think our portion of the gross profit that stems from the capacity is already heavily compressed under current conditions. And from that perspective, we believe that's pretty much at the bottom range of a potential corridor in that cycle. I mean, let's not forget it's still a cyclical business we talk about. So -- but that is our current feeling. What we are focusing on clearly is on expanding our SME share with higher yields, and we are successful in doing that, and we expanded on a quarter-over-quarter basis. And we are focusing on more services per shipment. You remember our strategy on the land side, value-added services that we have completed and extended at the beginning of the year with IMC is one of these steps. And these are the areas we can focus on. These are the areas that are, from a yield perspective, fully under our control, and we are going to expand on that. So from that perspective, I think I would not necessarily expect a further deterioration as you put into your question.
Operator: The next question comes from Marco Limite from Barclays.
Marco Limite: So just a follow-up on the last question you just answered. So when we think about Q4, I think you mentioned that we should expect Q4 flattish versus Q3. I mean by looking at the different moving parts, I guess you're sort of guiding for a GP TEU not deteriorating further versus the Q3 levels. Does that mean also that the headwinds from FX now are fully in the base, we are not going to see any further FX pressure, would be my first question. And my second question, again, on the gross profit per TEU point, you have just said that you think you are getting to the bottom in a way, but we are still at quite higher levels versus pre-pandemic. I know a lot has changed in terms of volume mix, [ IMC ] acquisition but at the same time, also 20% currency devaluation. So again, what gives you the confidence that also the service part of the GP, not just the procurement part of the GP is going to be stable and won't go down in the future?
Stefan Paul: Marco, so we're just looking at each other. So I take the second one. What makes us confident? I think, first of all, the yields are already very much compressed. And what we have just shared again is that our focus and the results in terms of our NVOCC SME volume is getting traction slowly, but more and more getting traction. So we are growing double digit in SME growth, which is helping us to maintain a certain yield position. Unfortunately, our large customers in the sectors I have just described are declining massively into the U.S., which we have not a huge influence over. But what makes us confidence is that we get more and more traction into the SME market. It took us quite a while, right? Now with the 45 new customer care locations with the highest sales force or largest sales force ever in history of Kuehne + Nagel and with a share of SME then which is north to 50% in the meanwhile, that makes us confidence that we have at least a chance to maintain a certain GP level which is not going down further significantly in the fourth quarter and the quarters to come. But there is, of course, no guarantee. We do not know the market dynamics completely. But anticipating what we see currently, that should help us to maintain a certain position.
Markus Blanka-Graff: And maybe just completing it for the first question on the fourth quarter outlook, I think adding to what Stefan just said on the additional services component on the origin and destination services. From an FX perspective, we will continue to see a pressure on the FX for another quarter because in the consolidation, we consolidate standard with average exchange rates over the year. And obviously, as long as the U.S. dollar predominantly, that is the currency that impacts here the most is residing at a level of $0.8 or $0.79 towards the Swiss franc, we will continue to see for another quarter an impact.
Marco Limite: And sorry, on the Q4 in airfreight, I guess in the past, we're talking about peak season. What's the view now also in terms of GP per tonne in air, if you can add any color.
Stefan Paul: What we see currently is that the volume, the market share gains will continue in the fourth quarter, especially in the area of the hard cargo where we have been more successful than in the first. E-commerce is going down further. So no support from e-commerce to be expected, but there are 2 main verticals where we see nice growth, which is the perishable and the hyperscaler semicon market, which is going to continue. But what is clearly -- and that is what we said as well during the last Q call, there is no peak season to be expected. So no additional support in the marketplace, but we would estimate the same growth pattern in the fourth quarter, which we have seen in the last 2. On yields, I would say, stable yields and no further deterioration in terms of the GP per unit is concerned.
Operator: The next question comes from Alexia Dogani from JPMorgan.
Alexia Dogani: Just firstly, on the cost saving program. Can you please discuss why CHF 200 million is the right number? Because when I look at the addressable cost base that you have, this represents just around 3%, which could be seen as just covering inflation. And so can you just little bit explain why you think this is enough. And when I look at a very high level, the run rate of profitability of this business, given what you delivered in Q3, we are looking at numbers very close to 2019 levels. And so why have things kind of unwound so quickly in the past few years? And what can you do to regain some of the more positive trajectory you have seen? And then secondly, on financial leverage, obviously, you talk about the commitment to the dividend, the fact that you want to go back to net cash neutral. But when we look at net debt-to-EBITDA, including leases, you're already at a range of around 1.5 to 2x. How high are you willing to let this metric go before you have to, I guess, take more urgent action.
Stefan Paul: Yes. Alexia, Stefan, I will tackle the first question, the cost savings and the basis of the cost savings. So I think what we have to do is here, we need to distinguish between the freight forwarding side, so Sea, Air and Road logistics, where our cost base is roughly CHF 4 billion. And we focus pretty much on this CHF 4 billion, right? So then the cost reduction is significantly higher than the 3%. Because in Contract Logistics, the cost is always related to the execution of the customer contracts and as more we win, as more we add, but this is a little bit independent from what we have put forward in the cost program, cost efficiency program, and this is pretty much focusing on the network side of the house. And we have a starting point, a cost position of roughly CHF 4 billion. So that's the reason why the percentage point is a little bit higher. And as Markus said a couple of minutes ago, there is a need for further cost reduction or cost saving measures, then we are able and willing to take them, right? So this is only what we have identified so far since August this year.
Markus Blanka-Graff: Let me answer on the debt position. I think you're right, it's 1.5x what we currently look at from a debt perspective. And yes, we have said we prefer a small net cash position going forward. So that means we're going to focus even more on our free cash flow generation going forward. Our current net working capital is expanded, is expanded more than what we usually would require for that business. Our net working capital intensity corridor 3.5% to 4.5%. So we are at 5%. Clearly, that speaks for a certain business pattern that we currently experience, namely in the airfreight arena on the charter businesses that are taking a larger portion than what we have experienced in the past. So there's a couple of moving points there, but I think something that we will manage even closer, and that gave us the confidence to go out with this confirmation of the dividend policy as well as our long term, it's nothing that's going to happen next year or at the end of next year that we will get back to a net cash position. But it's something that clearly remains in our strong focus.
Alexia Dogani: And do you mind if I just follow up on the point about the cost savings. I appreciate that it's 5% of the kind of the more forwarding side. Is there something that you can do on the revenue, do you think? Or really the only lever you have is the cost base to improve profitability?
Stefan Paul: No, the revenue side, you mean the GP side, right? So it's more the GP side...
Alexia Dogani: Yes, just help on GP...
Stefan Paul: Yes, it's more the GP side, of course, right? So it's how do you do the pricing, where do you focus? SME, we touched already quite intensively and airfreight is the mix basically, less growth basically in perishables, but more growth in the semicon and the hyperscaler and the industrial side of the house or in the hard cargo because here, the yield per 100 kilo is much higher. So that is what you can do and what you do on a constant basis with our sales force, focusing on the high yield business and look into additional services, so the so-called value-added services before and after port-port or airport to airport, and we have certain examples for that, the customs clearance piece, the transloading piece, the white glove service, the value-added service in the U.S., for instance, right? So there are a couple of things which you can expand, which we do in order to offset the pressure on port-port or airport-airport rates.
Operator: The next question comes from Marc Zeck from Kepler Cheuvreux.
Marc Zeck: Just a couple of quick ones on your recent acquisitions, to put that way. Can you give us a feeling of what you expect for Apex in Q4? I believe it's very much geared towards the transpacific and probably also there's a bit of e-commerce business. So you might say all the wrong places to be in right now. What will be kind of the rough EBIT contribution from Apex that you expect? Then on IMC, could you give us an update what IMC is currently doing in terms of profitability and what ocean yields will look like ex IMC? Are we still above CHF 400 million with excluding MSC or already in CHF 300 million? And then just a quick follow-up on the free cash flow and working capital development. It was my impression that in the past, you talked about elevated working capital being kind of a relic or artifact of the pandemic and high freight rates. Now obviously, freight rates came down quite a bit. Why is free cash flow or working capital lagging and normalizing above and beyond what you said on the airfreight charter business? That's from my side.
Stefan Paul: Yes, I'll start a little bit with Apex, right? So you're absolutely right, Marc. So Apex is transpac in particular, and it was more focusing on e-commerce, where we see a certain reduction in terms of volume is concerned. But we leverage Apex as Kuehne + Nagel pretty much as the carrier. So to give you one example is we have now 14 charter operations out of Hanoi, Vietnam, purely on the high-tech side, on the hyperscalers, semicon and high-tech customers, which is operated by Apex, and we jointly leverage the capacity towards the U.S. So we get the best out of both worlds, so to say. But of course, Apex margins are currently more under pressure based on the business mix and the situation. They are focused more on the U.S. and general cargo basis. But nevertheless, we utilize them as the carrier with their 747 charter operations for both legacies, which will add future value to the growth of the hyperscaler market.
Markus Blanka-Graff: Marc, it's Markus. On IMC, I think strategically, we talked about it a bit before. I think the right thing to do, quite happy with the land side operation, how we can also consolidate operation KN with IMC and so on. Your specific question on the gross profit per TEU, when -- the first answer is do not forget we have CHF 22 on currency headwinds on that. So what you can clearly see is a deduction of, say, roughly CHF 50 for IMC contribution into gross profit per TEU brings you to a CHF 370 number plus the CHF 22 on the FX headwinds. I would say from a U.S. dollar perspective, we are still around the $400 -- sorry, correcting for the U.S. dollar impact, we are still on the CHF 400 line. You have the full transparency on the breakdown as well in that books that we have published. But that is from a quick calculation on the back of the envelope that is the reality. Free cash flow and working cap, I think, yes, the pandemic situation was extraordinary in many ways, one of which obviously was also on the rates and on the working capital needs. But again, that has passed some time ago. Currently, we are looking predominantly on the portion of charter business in the airfreight arena versus the business that was on belly regular carrier business, what it was in the past, and that is still the main driver for -- that is still the main driver for the extended net working capital intensity. There's nothing else out there. We will continue to manage DPOs and DSOs and at the same time, try to optimize the business model as it stands today.
Operator: The next question comes from Michael Foeth from Vontobel.
Michael Foeth: Two questions from my side. Can you just remind us what the basis for the Apex valuation was in the deals, Partners Group now, and in hindsight, what the benefits of selling the stake to [ PG ] now taking it back has been for Kuehne + Nagel, both financially and strategically. And the second question, just a clarification. You said that the yields on the hyperscaler data center part of the business is much higher, much higher than perishables, I think you said, is it above the group average as well, the yield on that business? That would be those 2 questions.
Stefan Paul: Then I answer the last one. And yes, the overall semicon high-tech, in particular, hyperscaler margin end-to-end is higher than the average on group level. So significantly higher than group -- perishables, sorry.
Markus Blanka-Graff: And Michael, on the Apex, maybe just for transparency, Apex, Partners Group had a put option. So it's not so much about us selling. So they exercised the put option at the back end of the summer. I think what we have certainly taken out from that cooperation and that partnership is an excellent view into further growth opportunities on the M&A side at Apex, the way how to operate and look at business, I think from a highly professional partner like Partners Group in managing the business in Asia. So there's a lot of things, I think, that we have positively learned and taken away experience. From that perspective, I think we can be strategically very happy that we had this partnership in place. From a valuation point of view, I think we have disclosed that since the put option was in place in our financial statements. In principle, it is a multiplier on the financial performance of the company.
Operator: The next question comes from Gian-Marco Werro from Zürcher Kantonalbank.
Gian Werro: One question also on Apex and the terminated partnership there with Partners Group. So can you anyhow, despite this termination of the partnership, tell us about the pipeline for bolt-on acquisitions there in Asia? How did it evolve over this partnership? And how does it look at the moment? Does it look less promising now compared to 1 year ago? And the second question is on DSV, and the volumes from the DB Schenker integration that might come to the market. Do you see already some volumes coming into your direction? Could you benefit in the last quarter now from some clients who have diversified their portfolio of freight forwarders?
Markus Blanka-Graff: Gian-Marco, it's Markus. Let me take the Apex since we talked about it already before. So clearly, the visibility that Partners Group had to potential targets, it's much higher quality than what we have had internally. I think that is clear. And the pipeline for potential acquisition objects or targets is there. And I think without giving away anything over the next 12 to 24 months, we will see some actions there. In a bolt-on acquisition type, of course, we have not changed our view on that, but it's something where I think we get extremely good value for money. Going forward, I think it has proven to us that, that can be a future model for developing business in areas where a partner is really of substance and help to us.
Stefan Paul: Yes, Gian-Marco, Stefan. I tackle the DSV Schenker question. Yes, in particular, in seafreight and airfreight we have seen significant volumes on the market. And if you compare now Q3 volumes in seafreight on both companies, you see that it's a head-on-head race. It's not so clear anymore that one is larger than the other one, which we need to take as a sportive race like soccer, right? So you have to have fun sometimes as well in business life. So overall, I can confirm that we have taken advantage out of that merger, as I said, in airfreight, now road as well is helping us with the white glove service with the value-added services, particularly in the U.S., which we hadn't had before. So overall, it has benefited us and look at the -- again, at the numbers, compare the numbers in seafreight third quarter in total, both companies and us, then you see that is almost equal now. And it will be interesting to see in the next couple of quarters and years to come who can leverage the customer side for its own benefit.
Gian Werro: Just maybe one small follow-up. What is the hurdle to not also gain volumes in seafreight from the DB Schenker?
Stefan Paul: The airfreight market is much quicker. And customers -- so in seafreight, you have 1 or 2 RFQ cycles, it's mainly 1 RFQ cycle for the Westbound and for the transpac a year, and you have to wait for the RFQ cycle and the airfreight customers in particular, decide more on a monthly or quarterly basis and the share of wallet needle has moved much quicker in airfreight than in seafreight. So the risk or the purchasing guidance is more obvious in airfreight than in seafreight, but that can come and should come during the next RFQ cycle.
Operator: Next question comes from Laura Bucher from Octavian.
Laura Bucher: More of a follow-up really. You've mentioned expanding SME as a way to potentially increase the GP. I'm interested in knowing how that flows to EBIT per TEU. I think you once mentioned that SME offered, I think, was 1.8x the average GP per TEU, but that it also had much higher costs. So I'm interested in how has that developed over time? And if you're addressing any of it with the CHF 200 million cost-cutting program.
Markus Blanka-Graff: Laura, it's Markus. Good to hear you after we met a couple of months ago. So SME, clearly, 2 factors, and you're absolutely right, 2 factors, higher GP, but also higher cost to serve, and I can [indiscernible] to the end. Our cost reduction program that we have started today, and I think Stefan has also put a lot of color around which areas are lesser impacted like on the sales side. So to be absolutely clear, we maintain and focus our service quality and our ability to grow. That also means for SME customers, we will continue that high-level service that we are able to deliver. So there is not going to be an impact on the service quality. We save costs on areas where we think we can do that without impacting this service levels. 1.8x, that is still the correct number, at least from our experience that we see that also returns with a conversion rate or with a conversion rate in line with our ambition. So that is between 30% and 35% towards the bottom line. So as long as we maintain the service quality, then the customer loyalty is going to be the SME section will expand. So we are going to continue that journey. Nevertheless, when we automate or digitize or eliminate process steps, tasks within the execution, that will also benefit for the profitability of SME customers, for sure. But that's nothing that a customer will feel as a change or if a change then to be better for his customer service. So optimization, efficiency gains are also still be valid for SME. But overall, your business case is still very valid.
Operator: The next question comes from Cedar Ekblom from Morgan Stanley.
Cedar Ekblom: Just one for me. On the cash return, I wonder, would you ever consider going from a dividend to a buyback considering where shares are? Do you think that there is any opportunity to express a view that shares are maybe undervalued, particularly if you believe that you can deliver your medium-term targets that you set at the Capital Markets Day only a couple of months ago?
Markus Blanka-Graff: Sure, Cedar. Fair question, and I think a fair consideration. I can only reflect what the Supervisory Board is sharing with us, and clearly, their preference is on the side of dividends. Not much more that I can say for that.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Stefan Paul for any closing remarks.
Stefan Paul: Yes. Thank you very much for your questions, for listening in, your interest. Stay tuned and have a good winter. So the weather here is getting really now more to the skiing season. Thank you again for your interest, and talk to you soon.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.